Operator: Good day everyone, and welcome to the IAC Reports Q2 2014 Results Conference Call. Today’s conference is being recorded. And at this time, I’d like to turn the conference over to Mr. Jeff Kip, Executive Vice President and CFO. Please go ahead, sir.
Jeff Kip: Thanks, operator. Welcome everyone to our second quarter earnings call. With me today is Grég Blatt, Chairman of the Match Group and Joey Levin, CEO of our Search & Applications segment. Before we get into our results, outlook and general business overview, I’d like to remind you that during this call, we may discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as we expect, we believe, we anticipate or similar statements. These forward-looking statements are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our second quarter 2014 press release and our periodic reports filed with the SEC. We’ll also discuss certain non-GAAP measures, which, as a reminder include adjusted EBITDA, which we will refer to today’s EBITDA for simplicity. I’ll refer you to our press release in the Investor Relations section of our website for all comparable GAAP measures and full reconciliations for all material non-GAAP measures. Before we get into the businesses, I’d like to just note that we announced today that we’re increasing our quarterly dividend by $0.10 or more than 40% from $0.24 to $0.34 a share based on our confidence and our strong cash flows going forward, continuing our track record of returning capital to shareholders. With that introduction, let me turn it over to Grég to discuss the Match Group, then Joey will discuss the Search & Applications segment and I’ll wrap up with a few comments on our Media and eCommerce businesses. Grég?
Grég Blatt: Hi Kip, good morning everybody. Second quarter was another phenomenal quarter for our Dating business in terms of overall user growth, up more than 60% year-over-year in MAUs reinforcing our long-term expectations for the business. As we’ll discuss, we missed a few short-term opportunities in our current period financial results, we’re a little shy of expectations. But the fundamentals of the business are very strong. In that light, we’re reaffirming our belief that $500 million is a reasonable and attainable 2016 EBITDA number for the Dating business. We first started talking about that number we really talked about two different pieces. The first was our newer businesses, OkCupid, Tinder 2. And our theory there was that we had to nearly double MAUs and monetization rate over a three-year period. We’re just a few quarters in but MAUs in these businesses have already increased by more than 50% way ahead of schedule. In our non Tinder businesses monetization is already up about 30%, way ahead of schedule. And we plan to start to monetize Tinder this year. So, we’re confident in the contribution from this bucket. The second piece of our older business is which we said needed to keep growing at historical rates. Those are lagging slightly behind in 2014 but we’re confident they’ll improve. The reasons are really as follows. We relate in launching our new marketing for Match, we’ve talked about that for a while but we launched it two weeks ago. And the early returns are very good, it builds but we’re very excited with sort of the lift that we’re seeing in these early weeks. The second piece and we talked about this a little bit last quarter is our renewed focus on native mobile apps. Back in 2010, we were really the first people in this space into these, we had an app literally with everything, we had Blackberry apps and palm apps and Windows apps and Android and IOS etcetera. But as the app store started to layer in requirements, we backed out and we basically made that on mobile web. And that was very good for engagement and our mobile web business has been great for users. But clearly we’ve missed out on big customer acquisition opportunities. As we talked about last quarter, we’ve sort of reoriented towards tackling that. As part of that Match launch by IO SAP three months ago, yet today we actually became the second highest grossing app in the store other than gaming apps. But it’s really just a fraction of the opportunity we see there. The app store is sort of like the web in the way in which you sort of get good at discovery and we’re really just starting. We’re really just starting paid acquisition, we’re starting with app store optimization etcetera so I mean, there is, lots more to do here and lots more upside. The other sort of drag we’ve seen is this new focus on native apps is actually affecting our desktop performance. And that we’ve only had so many resources to allocate, as we allocated resources to mobile we have fewer paths to drive product performance, and so we actually had for the first time in a while a little bit of a conversion mix, which we didn’t expect. And we need to be much better at driving mobile and desktop performance simultaneously. To accomplish these objectives, we’re planning some changes to how we approach product development and technology. First is a substantially increases we’ve discussed and resources devoted to native mobile development is to allow us to meet our goals of catching up in this area and then getting out ahead. Secondly, we’re making our various products and platforms more compatible, allowing changes we make to a given product to roll more seamlessly across our other products and platforms. The end result would be a lift in product efficiency for many products, increased speed to market for product innovation, greater investment in mobile development and overall lower costs. These initiatives won’t affect all of our businesses, we’re confident the end result would be incremental revenue growth in real margin expansion. This is still in planning stages but we’ll be able to discuss in much greater specificity how this is going to happen and over what period next quarter. So, when you look at our businesses, excluding Tinder, which is not yet monetized, and we look ahead to 2016 in sort of how we’re rolling up now. We see low double-digit annual sub growth, we see modest overall rate declines driven primarily by mix-shift but partially offset by rate increases across most business lines. And we see meaningful margin expansion driven by both mix shift and the technology changes that we discussed above. That doesn’t get you to $500 million in 2016 but it puts us in striking distance. And then we’ve got Tinder. It’s growing like weed. And they use up 140% year-to-date with June over May growth almost 2x May over April growth. So, it’s growing very strong. We’re starting to monetize it this year. It’s a work in progress in terms of the exact manner and timing of how we’re going to roll out the various monetization features. So I don’t want to give specific projections at this point although we will as we go forward. But I just wanted to give you an example of the opportunity here. If you took Tinder’s current user base, so June 2014 and you monetized its North American and European users at the rate that we monetize on OkCupid. And we monetized Tinder’s users in the rest of the world at 25% that rate. You’d be looking at about $75 million of additional EBITDA this year. Obviously we think Tinder’s user base is going to grow dramatically more between now and then. And we also think that Tinder and frankly OkCupid should both monetize better tomorrow than OkCupid does today. So we see lots and lots of incremental opportunity here. And more on that as monetization develops over the next few quarters. Before I get to outlook, just a few strategic things that we’re very excited about. We just announced an upcoming acquisition of Friends Scout in Germany. Germany is the world’s second biggest online dating marketing in terms of revenue. But it’s been fiercely competitive with lots of marketing spend. And it’s really driven profit out of the market. We waited for years for the right opportunity to get in there. Because of those dynamics we haven’t really competed full-on in the way we have in other markets. But we finally got what we wanted at the price we wanted. We’ve been looking at Friends Scout for a while, it’s the business we wanted and we are acquiring it what we think is an attractive price. The acquisition will take us from fourth place in Germany to first place. And now we’re confident that that leadership position that it gives us will help up break profit log jam that that market has seen. Second, yesterday we announced an acquisition of The Princeton Review. We expect a year turning Twitter.com into a great consumer product. We haven’t talked that much about it but it instantly connects students to a network of high quality tutors, anytime, anywhere, it’s got 95% recommend rate among its users. And we are set to take it to market and begin a marketing campaign now this fall to build a brand. And it’s currently been an institutional business. But when we sort of started talking to Princeton Review we saw a huge opportunity here. They have an authoritative brand, everybody knows it. And it represents high quality. And they’ve got the best test prep product. We really started looking at the industrial logic of this and started looking at test prep and tutoring sort of like selling airline tickets in hotel rooms, meaning, you’ve got a consumer who is looking for the exact same thing. You meaningfully increase the lifetime value of the consumer and we’re very, very excited about them. And really, lots of industrial logic here with lots of cost and revenue synergies. And we think that this will meaningfully accelerate the timeframe in which Tutor becomes a meaningful contributor of profits to this business. Just turning to Q2, as I said, overall results were okay but a little slower than we’d like, mostly because of the factors we discussed previously. The results were with media inflation especially in Europe and some lingering effects from the credit card security problems that we faced earlier in the year. We’ve mentioned, we’re very confident and the strategy is going forward. Looking ahead, we think that comparable to slightly better growth in Q3 than Q2, and meaningfully better growth in Q4 in each case in both revenue and EBITDA. That’s before Friends Scout and Princeton Review. We expect those to add about $40 million to second half revenue with about $12 million to $15 million of net expenses and charges, mostly from purchase accounting and other transaction effects, both of them – both these businesses have substantial deferred revenue pieces in the accounting we sort of wipe that out, so you take a hit in the first couple of quarters of the business. We’re excited about where we are. The strategies take us forward. We’re building momentum into ‘15 with a strong outlook for ‘16 and beyond. With that, I will it turn it over to Joey, and I look forward to taking your questions a little bit later in the call.
Joey Levin: Thanks Grég. We delivered EBITDA for the quarter up nicely sequentially and narrowed the year-on-year decline from last quarter, but we have two specific issues to work through in the back half of this year in our applications business. The first is Chrome and the second is the marketplace for B2B applications, I’ll start with Chrome. Last week, Google released a new version of the Chrome browser which we expect will have an adverse impact on applications. As you know, reacting to these kinds of browser and platform changes is part of the business and from a technical perspective we’ve made most of the necessary modifications to be compatible with the new version and the latest Chrome web-store requirements. And have been reviewed by Google in the context of our broader commercial relationship. However, the changes will reduce the near-term revenue per offer for Chrome extensions and we’ve reduced our forecast for the remainder of the year to reflect the changes. We’ve managed this sort of transition with new versions of Internet Explorer and Firefox before. And based on our experience with other major browsers, we believe the impact will be more pronounced initially and then settle over time as the marketplace suggests and we optimize accordingly. We should transition by the end of the year as the tale on the old Chrome extensions lines up and we start to ramp distribution of the revised products. On B2B applications, the market remains tough competitively with some of our largest distribution partners posting sequential declines which outweigh the new business we’re bringing in. Some of those declines relate directly to the market dynamics where our partners lost distribution to competitors supported by more aggressive monetization and some issues are partner specific. We will continue to manage the business for the long-term with sustainable practices and consistent with our values, which we firmly believe is the right approach for our users and important as we focus our efforts on working with market leading software providers that creates value on customer experience. On that note, we just renewed our agreement with Oracle, where our products are distributed with Oracle’s Java application. And we signed two new deals with top-tier software providers representing millions of potential installed per week including a leader in the security software space and other well-known Media Player. On the B2C side of the applications business, we had our highest profit on record in the quarter and the business remains well positioned competitively. Our control over product development marketing and monetization provides us with a very strong offering and allows us to adjust quickly to the market. We’ll take a hit there in the back half of this year on the Chrome changes, but fully expect to be able to grow again once we settle in at the new levels and we’re ramp our marketing budget back up as we see opportunities. We also continue to make nice progress on software subscriptions since we’ve integrated firmware. So, we’ll see how it all plays out in applications but we’ve adjusted our outlook from here to reflect the B2B softness in the Chrome impact. We expect the year-over-year decline in applications revenue for the second half of the year to be around 500 basis points or so greater than the Q2 decline and stabilize over the course of Q3 into Q4, as the tale on older Chrome traffic runs out. So, our applications business within Chrome is likely smaller than it was but still quite sizeable and profitable and we expect to resume sequential growth early next year. On the website side of the business, we remain excited about the progress in the future where we continue to see sequential revenue growth excluding acquisitions. We are now publishing quality content to an audience of over 300 million people monthly across our sites with meaningful contributions from About.com, dictionary.com and Investopedia and PriceRunner as well as Ask.com. Just to give you a sense of that on a relative basis if you look at just our website’s business standalone and treated as a single property, we’d be among the 15 biggest properties globally. And that’s all owned and operated not a network. Mobile continues to grow sequentially and as a percent of total and could reach close to 50% of total page views by the end of the year there. On RPM, we’re still copying against the period before the pricing adjustment in Q3 last year, so we probably won’t see RPMs grow again until Q4 this year. But excluding Ask where we say the bulk of the RPM hit last year, RPM is up nicely year-on-year without any increase in ad density, reflecting our ability to improve user experience and optimize across both direct and programmatic. We’re also getting better in attracting users. Total marketing spend as a percent of revenue of website is down double-digits year-on-year. So, the building blocks are all there and we’re moving in the right direction. At About.com, we’ve continued to make substantial improvements qualitatively with massive upgrades in both user experience and content quality and quantitatively with big increases in content production and yields. At the end of last year, we began in earnest to have more and better experts in the right categories. We’ve added almost 200 new experts this year alone. At the same time, we’ve accelerated our ability to analyze the performance and quality of our content, which means we can evaluate (inaudible) performance with experts much more quickly than we could previously. And the quality of experts we’re recruiting on to the platform is really exciting. People were not only passionate about a subject but have also proved themselves as writers and savvy marketers particularly through social media. With access to the tools at About.com, many of these experts have been able to meaningfully grow their fan base. The effects have been noticeable. Since the end of last year, the number of new articles published has grown double-digits while continuing to raise the bar on quality. We’ve also improved our content management system, launched a brand new homepage and we’re in the process of a complete site redesign. The result is a better quality product, which we see reflected through improved engagement metrics by time on page. And the effects flow through the monetization too in both direct sales and programmatic. Their revitalized brand, the new design and fresh content are enabling our sales team to increase deal size and improve sell-through. And mobile revenue has grown nicely in particular from non-Google sources which now comprise 40% of total hand-held mobile revenue at About. Ask.com is also making real progress on a number of fronts. First, we’ve managed effectively through the price adjustments we saw at the end of last year and grew revenue and earnings sequentially, in part through efficiency gains which resulted in lower revenue growth but expanded margins. That result is certainly a testament to the strength of our content and marketing platforms and people, but I think it also reflects the enduring strength of our brand in Q&A as a desired used case. In that regard, we’re putting real energy into developing more proprietary Q&A content and expect that to grow throughout the year. Adding that all for the websites business, we expect Q3 to have sequential growth similar – sequential revenue growth similar to what we saw in Q2. And we expect Q4 to grow nicely year-over-year as we finally lapped the pricing changes which we gained last August. The percent of revenue coming from non-app store sales as a percent of total website revenues has doubled year-over-year with healthy margins. So EBITDA from those businesses will be over $100 million this year and I expect to see further diversification as we grow and add more publishing assets going forward. For Search & Applications overall, we anticipate EBITDA margins for the remainder of the year, similar to Q1 given the expected revenue declines in the applications business. This Chrome transition for our applications business is not our first time nor will it be our last time managing through browser changes. I don’t believe there is any company better equipped to handle these transitions than us. And we’ve already found avenues for optimization to improve performance in the new Chrome, while continuing to generate meaningful cash flow. At the same time, our portfolio of content properties, comprising our websites revenue continues to grow and diversify. We’re excited to keep on building. Thanks.
Jeff Kip: Thanks Joey. Revenue, in the Media and eCommerce segments were together down 16% versus last year, with the total EBITDA loss of approximately $4 million in the quarter. The segment decline was driven by the presence in the prior year of CityGrid revenue in local and Newsweek revenue in media. On an apples-to-apples basis, the two segments would have grown revenue, although total revenue was lower than expected driven by the slippage of Electus shows out of the quarter. We expect solid revenue growth year-over-year in both the third and the fourth quarters given that CityGrid revenue and in part news week revenue will not be included in the prior year. We also again expected comparable combined low single-digit millions of EBITDA investment in both the third and fourth quarters. As you know, we’ve got several businesses in the Media and eCommerce segments which we’re excited about. In the Media segment, Vimeo enjoyed another strong quarter of growth with nearly 60% growth in ComScore monthly unique viewers and nearly 50% growth in revenue. Vimeo also reached 0.5 million subscribers in early July, a real milestone. The strong momentum in the Vimeo on-demand business has continued as our catalog in videos and films has now grown to 11,000 strong and our monthly revenue run rate for that business is up nearly 50% sequentially from the first quarter. Additionally, in media, we continue to see strong traffic growth of both the Daily Beast and CollegeHumor where monthly unique were up approximately 30% and 35% respectively. In the eCommerce segment, home advisor had a second consecutive quarter of accelerating double-digit revenue growth. The business had its strongest performance in both total revenue and total service requests ever in the second quarter with paying service providers also up 20% and service requests up solidly for the second quarter were up with organic service requests up over 20% year-on-year. With that, we’ll take your questions. Operator?
Operator: Thank you. (Operator Instructions). We’ll hear first from Jason Helfstein, Oppenheimer.
Jason Helfstein – Oppenheimer: Hi, thanks. Grég, I just wanted to dig in a little more into the international slowdown. So, specifically, internationally would you say you’re seeing more competition from paid services, is it other free services or are you potentially cannibalizing yourself. And then, I guess just overall, it does seem like we’re seeing that the space more competitive. You did talk about an acquisition you did in Germany you think helps your positioning. Just wondering if you could go into a little more detail about that? Thanks.
Grég Blatt: Sure. I actually think, I don’t think this space is more competitive than it’s been. I think the – if you exclude Tinder for a second, there hasn’t really been any meaningful movement in the space in a long time. We do a survey every year, probably the biggest single survey anywhere that sort of looked at all the stuff but there are not a lot of publicly available information. Business the big – eHarmony, plenty of fast, sort of being domestically in some part internationally sort of big players continue to be sort of big. No one knew of any size that’s come on in the market in a long time. In the U.S. you get Tinder and OkCupid that have grown a lot over the last few years, and that certainly impacts the landscape, we happen to own both of them, which is good. But other than that there hasn’t really been a lot of movement. And Europe is a big place and each market is different. But again, I would say Tinder is the single biggest sort of change there, recently there was Badoo but that made a big push from three plus years ago and then has slowed. There are couple of players in a couple of markets. But in general, again, other than Tinder, which does have an impact but it’s primarily at a young demographic that our traditional sites don’t – it doesn’t make up a big part of their business. The competition really hasn’t changed much. I think part of it is, in Europe I think there is media inflation which I don’t think is sort of – is limited to the dating marketing. Meaning, I don’t think that’s a reflection of competition in dating, I think it’s a reflection of an aggregation of media markets both online and offline that have just increased the pricing. But I really don’t – we looked pretty hard at this and I don’t think there is any meaningful change in the landscape other than Tinder.
Jason Helfstein – Oppenheimer: Thank you.
Operator: Thank you. Moving on to Ross Sandler, Deutsche Bank.
Deepak Mathivanan – Deutsche Bank: Hi, guys, thanks. This is Deepak actually for Ross. Just wanted to follow-up on that, I actually have two questions, one on Match and then generally about the dividends. First on the Match Group. So, I mean, I wanted to ask a little bit about the strategy around mobile apps. I think unlike in the desktop world, kind of like in the mobile apps, the ecosystem is highly fragmented. Like you see new players like Hinge pretty much growing pretty rapidly. And how would you think about this, would you think about more acquisitions or do you have any strategy to organically build more apps, kind of like gather different needs. And then secondly, I think you increased dividends by 40% this quarter. I mean, how do you think about the return in terms of, I don’t think there was any buybacks. Would you think of returns going forward in terms of like increasing dividends or what’s the philosophy there? Thanks.
Grég Blatt: Yes, I think again, with the mobile app, Tinder has grown and become very significant. Hinge is still a lovely app, I’m not missing it, but it’s – user growth, it’s not sort of a meaningful thing on the overall marketplace. And I think the mobile store, people thought back when Facebook came that it would sort of enable all these new competitors just sort of grow rapidly. And there were moments where it did. But in general, it just doesn’t change the landscape. And I don’t think there is anything inherent about mobile that changes that – meaning, you still need to have a great product and a great brand. And that’s what Tinder has done. Nothing else in the mobile world has been around for a few years now nothing has caught on and gained meaningful distribution. I’m not saying it can’t happen, every few years something grows and becomes big. But I don’t really see the landscape as being meaningfully different. In some ways it’s easier because if you can afford to spend money on acquisition, that sort of drives you up in the app store which in turn sort of drives. So we think that – we look at the native app world as an opportunity. Again, we didn’t play aggressively in our traditional brand early. But you look at OkCupid’s growth there and Twoo’s growth there and Tinder’s growth there and it’s great. But I don’t think it’s because of the app store effectively sort of allows for more rapid distribution or a greater democracy. Still that’s a great product and if you can put paid money behind it, you have huge advantages. So, again we’re focused on it but I don’t see it as a meaningful change in the competitive landscape.
Jeff Kip: In terms of your question on returns of capital. We instituted the dividend nearly three years ago. We doubled it after its first three quarters. And at the time it went from 1% to 2% yield. We didn’t raise it last year and so we’re just bringing it up now. We think increasing dividend is a good part of our capital return strategy. We also think opportunistic share buybacks are good part of capital return strategy. So, our position on both really hasn’t changed. The dividend increase this time brings again the yield up to around 2%, not that that’s a perfect benchmark. But I think we think that we’ll probably steadily increase it over time. But we’ll do these things opportunistically.
Deepak Mathivanan – Deutsche Bank: Great. If I can just squeeze in one more. On the website, I don’t think you called out anything related to Google Panda. But there is a lot of noise during the quarter in terms of Ask traffic. Do you have any comment, do you see any impact? Thanks.
Jeff Kip: It was relatively small impact from Panda. I think the – it’s actually – we have for a long time I think About.com before we owned it. And even for the first, we owned it, everyone sort of lived in fear of these algorithm updates from Google and probably with good reason given the history. We’re now at the point where our content is good. And so when these algorithm updates happen, they generally and this one in particular did generally affirm our strategy which is where we know we have sort of weak outdated content, that’s going to get removed. And where we have good updated high quality content that’s going to get rewarded, and we saw that in this most recent update. So it had a small impact on some small areas of Ask, actually small areas of Dictionary and About.com netted up in this update. So, we’re sort of at the point now where we look forward to these because I think that they’re generally rewarding where we’re investing in the content.
Operator: Thank you. We’ll hear next from John Blackledge, Cowen & Company.
John Blackledge – Cowen & Company: Great, thanks. I have a couple of questions on Tinder and Match. So, for Tinder, you mentioned miles increased 140% year-over-year, did that accelerate from 1Q ‘14 levels? And then, will you start to monetize Tinder in 3Q or 4Q, and can you describe how you expect to monetize the business and we’ll be advertising and our premium type of offerings? And then, also on Match, you mentioned miles grew 60% year-over-year. What was the total number of miles? I think in the fourth quarter of ‘13 you said Match had 30 million miles. And I’m wondering if that growth accelerated from 1Q levels? Thank you.
Grég Blatt: The Tinder number was actually not a year-over-year number, it’s actually year-to-date so, much greater than year-over-year. From December through now, and they used it up 140% at Tinder. I wouldn’t say that I don’t want to naturally say its accelerating, it’s accelerated – it bounces around a little bit, there is seasonality, there are events there is PR etcetera. June over, we don’t have the July numbers fully in yet but the June over May happen to grow 2x May over April, I’m not saying that’s an overall trend of acceleration. But I’m saying it sort of bounces around and still growing very strong. In terms of the overall MAU number, I imagine we did give that out at some point. I don’t think we’re currently giving that out on aggregate basis but year-over-year, for in total, we’re up 60% versus Q2 last year. And given the extensive growth of Tinder I think on an overall basis that is accelerating. I think last quarter, we said that MAU growth was around 50%, I think year-over-year this quarter, I think we said its 60% so there is sort of acceleration overall. A lot of that is Tinder, we’ve also got great growth at OkCupid obviously we’ve got growth but lower growth in sort of our other businesses, where we’re much more advanced into the monetization process. In terms of monetization Tinder, I think that we’re already into August. I think either late Q3 or early Q4 you’ll start to see some monetization come. I think that monetization on Tinder is going to be frankly like our other sites, it’s going to be a combination of three things. There is going to be ad revenue, and there is going to be some form of recurring revenue and there is going to be some form of our cart revenue. And that’s true sort of every one of our products, the mix is different from product to product. Certainly you can expect there is recurring revenue, it won’t be the Match.com type where you have sort of page communicate subscription. But there is, certainly, we know from OkCupid that there are certain user’s page in other things where people pan on recurring basis for certain features that gives them the ability to do certain things. Some of those things are better monetized on all-cart transactional basis some are more sort of sustained user states. And the great thing about Tinder is, it’s really – because it’s primarily used for dating, at least at this point, it has all the direct monetization capabilities of a dating product which are very high. Because it is high engagement and the manner of swiping, it’s also got big sort of social network advertising capabilities. So we’re really excited about it. We’re going to play around with all of them and what the exact mix will be, I can’t say at this point. But we’re highly confident in our ability to monetize Tinder very well.
John Blackledge – Cowen & Company: That’s great, thanks Grég. Could I ask one more question, just the – you said the $75 million EBITDA contribution, if it was fully monetized right now similar to OkCupid. What does that imply for the EBITDA margin? Thank you so much.
Grég Blatt: Again, I think the exact math was, if we monetize North America and Europe Tinder users at the rate if we monetize OkCupid and then the rest of the world at 25% of that rate, you would have about $75 million it’s a very high margin. But I don’t want to get into the specifics of it but it’s certainly over 50% – over 50% profit margin.
John Blackledge – Cowen & Company: Thank you.
Grég Blatt: You’re welcome.
Operator: Thank you. Moving on to Mark Mahaney, RBC Capital Markets.
Mark Mahaney – RBC Capital Markets: Thanks, two questions. Could you provide a little detail on the write-down, I think one of those part of that was due to area over – to the area. And then on the home advisor part of the business and the acceleration and the improvement that you’re seeing in service request, any more color as to why that’s occurring? Is it a matter of easing comps or they are fundamental improvements and I think there are that are driving them? Thank you.
Jeff Kip: First on the write-off, there is, about five different investments, a few of them small, a couple of them larger areas, the largest in that write-down. Secondly, on home advisor, I think you’re looking at two things. One, we rebranded last year, we saw dip in traffic in monetization, in particular, in the first couple of quarters. So we do have some good compares. I think secondly, our marketing has been very effective returning on a lifetime value basis, nearly couple of hundred percent so far. So that’s doing very well. And so we’re seeing very good traction with the brand. We think we have rising satisfaction score from that business as nice momentum.
Mark Mahaney – RBC Capital Markets: Thank you.
Operator: Thank you. Moving on to Heath Terry, Goldman Sachs.
Heath Terry – Goldman Sachs: Great, thanks. I was just wondering if you could maybe just $75 million in EBITDA for tenders of really interesting number. And I think implies a level of monetization that we don’t normally see at or haven’t seen at social networks. So, curious kind of what’s involved, I know you don’t want to talk about margins but sort of what’s involved from a revenue perspective in being able to get to that kind of EBITDA or from a CPM perspective given that our ad-load perspective, some of the metrics that you’re thinking about that’s going into the math behind that number? And then, if you can just – the contribution from the acquisitions on the O&O side, if you can give us any sort of sense of what growth would have been like without those acquisitions that would be interesting?
Grég Blatt: Was the second part of that a Match question or a Search question?
Heath Terry – Goldman Sachs: Sorry, that was more of a Search question, but I mean, and I know the acquisitions within Match have been relatively small but to the extent you want to provide some clarity on that?
Grég Blatt: Yes, I don’t think there is anything meaningful on the Match side, so, I just tried to clarify that. I think as I pointed out, I think that OkCupid, I mean, sorry, Tinder, will monetize differently than a traditional – in a traditional social network. The better now I think is either a free-to-communicate dating product like OkCupid or a game, where there will be a lot of direct monetization in which a small number of the users will pay a fair amount for certain things. If you look at OkCupid, OkCupid started out as a – again, OkCupid was a direct analogy. I’m not saying this would be exactly how it will work. But it’s just – it’s a good way to frame it. OkCupid started out as a purely ad-driven product, we bought it huge percentage of revenue was ad. And we’ve layered in a variety of paid features it hasn’t affected user growth at all. Now, a single digit percentage of the users, pay to use certain features. And all we did was basically apply similar math to Tinder’s user base. It maybe that the direct monetization is a little lower and the ad revenue is a lot higher, we don’t know. But we’re certainly confident that sort of if our intent was to simply monetize it as a traditional dating product like we’ve done with OkCupid or maybe not a traditional dating product but like we’ve done with OkCupid, the used case and the user base and their commitment and passion for the product is absolutely can sustain in that kind of monetization. So it’s a hybrid between really a social network gaming business and a dating product. And I think that between those three of the monetization course, we’ll take home.
Jeff Kip: In terms of the revenue question, and I think that our – we’ve obviously had declined based on the changes in Google policy, downloadable applications guidelines etcetera. I think we’re run-rating a kind of a level we’ve been at the last couple of quarters, we’re just kind of low-double digits in those businesses, excluding the acquisitions.
Heath Terry – Goldman Sachs: Great, thank you.
Operator: Thank you. We’ll hear next from Brian Fitzgerald, Jefferies.
Brian Fitzgerald – Jefferies: Thanks. Jeff, Vimeo had nice growth in revenues and subs. Can you maybe give us a little more granularity on how you’re feeling about the engagement there? Anything around time spent or likes or follows or uploads, maybe even what you’re seeing in terms of upgrades plus pro or the subscription breaks there? And then, again, on Vimeo, can you give us a growth rate on that 11,000 videos in the library? Thanks.
Jeff Kip: Look, the videos in the library are up something like 50% quarter-over-quarter on the number we gave last quarter. Look, we’re feeling very good about engagement at Vimeo. I think views are growing a lot faster even than unique visitors so that’s great. And that’s even better when you consider that mobile unique visitors have been driving a lot of the growth, doubling year-over-year essentially the whole time. And you naturally and any of these businesses, get somewhat lower engagement in the mobile form factor and usage pattern. So I think yes, we’re very happy with engagement. We’re very happy with the Vimeo-on-demand business. Was there another part of your question that I missed?
Brian Fitzgerald – Jefferies: No, maybe you have been giving breaks on basic plus or pro right?
Jeff Kip: No, we haven’t been breaking that down.
Brian Fitzgerald – Jefferies: Okay. And then maybe one quick on one, still on Media on the electives, any particular point driving the project shifts, do you have any sense of when they will hit? Thanks.
Jeff Kip: Really that shows we’re just moving into this deck in half of the year. It’s no particular thing, I think it’s just show businesses they say these things sometimes move, a number of episodes change. But again, we’re feeling very good about the shows and the production and the pipeline in that business.
Brian Fitzgerald – Jefferies: Very good, thanks guys.
Operator: Thank you. Moving on to Peter Stabler, Wells Fargo Securities.
Peter Stabler – Wells Fargo Securities: Good morning, thanks for taking the question. A quick one for Grég, you mentioned a bit of a pivot tour apps away from mobile web. Just wondering if that could have a long-term impact on margins for the segment as a whole? Thanks very much.
Grég Blatt: Yes. Look, I think that we’ve certainly built the app monetization has – certainly has a fee associated with it. And we built that into our thinking as we’ve said, we expect long-term margin expansion. I think that you’ve got to look at it sort of as a pocket of distribution. I don’t think it’s every going to be sort of 100% of the business. But as you get better at app store delivery, our app store discovery and as you optimize your paid spending, you should be able to actually maintain your cost of acquisition, meaning, some ways we view it, we view it like a distribution deal that we might do with Yahoo or that we might do with MSN or AOL. And we’ve always built in those sort of call them rev shares. And so, we think that obviously it’s an incremental expense that affects margin. But in the overall mix of the things that drive acquisition, we still believe that margin overall will expand.
Peter Stabler – Wells Fargo Securities: Very helpful, thanks.
Operator: Thank you. Moving to Eric Sheridan, UBS.
Eric Sheridan – UBS: Thanks for taking the questions. I think two for Grég. Grég, you highlighted marketing channels and that sort of turning the dial up on trading dollars to work on marketing to drive growth. Maybe you can help us understand some of the channels you are putting money to work and sort of what you see early days, some sort of the ROIs of the channels. I know that might accelerate the shift to mobile? And then also Grég, Match group continues to sort of allocate incremental capital to sort of deep and certain properties or broaden out your geographic focus. Maybe I wanted to understand about capital allocation within the Match Group and how you think about the M&A landscape, long-term. Thanks.
Grég Blatt: Great. Your first question, maybe you could – I wasn’t quite sure I caught the beginning of it, meaning, you were saying we’re stepping. Just could you repeat the first part of it, I’m sorry.
Eric Sheridan – UBS: No problem. As you increase more trading dollars to drive growth, I was curious what channels you are allocating dollars for marketing. And so what the ROI you might be seeing from those channels and it might mean to the shift to mobile long-term?
Grég Blatt: Okay. We’re always shifting dollars around, I mean, when I first got involved in the business really back into ‘08, we built the business on the back of distribution deals with MSN and AOL and then started layering TV on top of that. And those deals were gone, we were placed with the Yahoo deal, that deal is gone. Facebook is now sort of meaningful, although much smaller than those deals were in terms of our overall thing. I think TV is still the biggest, TV, when it works continues to be the most powerful sort of marketing out there because it drives productivity across all channels across everything. And you keep waiting for it to become less effective. Maybe over time in slow drips and drabs it is. But somehow people still are watching TV and seeing those commercials. So we’re always focused on doing that better. I think that the big channels that we’re really looking to open up right now, are sort of mobile only channels, meaning again, total advertising drives users into both directly remain on the web but also into the app store and on to mobile web etcetera, you get good ROI across that. But optimizing sort of mobile advertising, sort of app download advertising, something we’re just starting. And we see that huge opportunity, again we lost Yahoo dealer, Yahoo deal meaningfully reduced last year, to some extent we’re still digging out of that hole. But the good news is that we’re at the very beginning on the mobile side. And we think there is huge opportunity. In terms of ROI, our ROI overall tends to be pretty high. What you try and do, what you try and sort of allocate your incremental dollars to break even, which keeps your average very high. That bounces around based on channels, as we break into new channels sort of you have negative ROI marketing, in certain channels you try and learn your way around. But overall, our aggregate sort of marketing dollars, I mean, they are very high. Our margins are very high and respectively all our advertising drives that in some way. So we’re excited about the opportunities there but they are always shifting. We think Facebook scenario we can exploit more as well, especially on the mobile side where we haven’t really made a lot of progress. And online video, really we’re just starting to tackle as well. So, we’ve got a lot of opportunities, sort of globally. We were just beginning to scratch at. In fact they were behind, I mean, there are people who sort of weren’t able to do TV in the way we are and so had to maybe deal on scrappier than we were in certain other channels. And but we’re going to make up that space, we have no doubt. We got a lot of resource and expertise to bring to bear. And we’re excited about our ability to expand marketing. In terms of capital allocation, we – certainly in the dating area, we will continue to look at virtually everything and to do deals where we think there is either real strategic sort of incentive or sort of yield value that we had. Examples of that would be how about we which was not strategic but was highly – high-value in terms of price for what you get. And Friends Scout where it was really both, we happen to get at a great price. But tried to be leader in Europe when you’re number four in Germany, and we’ve wanted to get that for a while and we got it at a price that we like. So, truly Dating is something we continue to see opportunity and we expect to do deals from time to time. Beyond Dating, I think we’re in two other areas really, which are sort of the education space and the fitness space. And we just allocated some capital to the education space, not too of a mandate to allocate capital to either of them but there are areas we like. And so as we see opportunity we’ll go after them. These are businesses where we’re able to integrate marketing expertise, sort of develop the group, integrate sort of UI and other sort of analytics across the group, who try and look for businesses that have similar characteristics and then sort of once we’re in them, we’ll grow our opportunity to take them. And so I think that it wouldn’t surprise me to see more capital although I don’t expect significantly more capital and education anytime soon. But we’ll look for strategic things. And I think fitness is an area where we think we’ve got sort of the best product in the area. We think that fitness will be transformed by streaming video and personalization. I And I think we’re very early on. We don’t think anyone had sort of broken through yet although again we expect to do it – we expect to end the year probably at 100,000 plus subscribers in that business, starting through single digit. So, it wouldn’t surprise me if we found some attractive opportunity and went after it. But I don’t think these are big capital allocation areas. And I think that we’re always looking for, sort of – if there is a fourth area that meets these criteria, high brand, high consumer value service with recurring revenue streams, we’re looking at those. But I don’t think there is a mandate to do anything. So there is not a mandate to do anything. But we look at lots of things.
Jeff Kip: And we’ll take one more question operator.
Operator: Thank you. We’ll hear our final question from Nat Schindler, Bank of America Merrill Lynch.
Nat Schindler – Bank of America Merrill Lynch: Yes, hi, thank you for taking my question. Two things, one, can you go into a little bit about Tinder’s growth recently and the exceptional growth in June. Was that mostly – was there a lot of that outside the U.S. particularly World Cup related? And how you’ve seen that and whether or not that is continuing post World Cup. Additionally, can you – is there – are there any structural or legal issues precluding you from doing buybacks which you have traditionally done with pullback from the last two quarters?
Jeff Kip: Let me just address the buyback question. I think we do buybacks opportunistically with any public company there could be reasons or not at any given time. And obviously you wouldn’t comment on them during before after the back. So we have quarters where we do a lot of buyback and we have some quarters where we don’t do any.
Grég Blatt: Yes, on your – I’m just doing some quick math here so give me one second. No, the growth, the June over May growth was effectively the same domestically as it was globally but there was not a big difference there. As I said, the growth in June over May versus May over April, I’m not saying it’s necessarily a trend. What I’m saying, it bounces around, meaning, I don’t think it was exceptional either. Some months have just different bumps and if I look at this, I’m just eyeballing March was a big month. So, I think it bounces around. I think we were looking at the metrics in July earlier to make sure that sort of trends were consistent with those, overall 140%-ish growth rate. And I think that they are, but I don’t think there is anything, I’m planning acceleration but I don’t think there is deceleration either. It’s a nice steady, month-over-month growth rate with phenomenal year-over-year growth rates. And we’re feeling really good about it.
Nat Schindler – Bank of America Merrill Lynch: Great, thank you.
Jeff Kip: Thanks everybody. Let us know if you have any questions. Have a great day.
Grég Blatt: Bye-bye now.
Operator: And thank you. That does conclude today’s presentation. Thank you for your participation.